Operator: Good day, ladies and gentlemen and welcome to the Second Quarter 2014 Zix Corporation Earnings Conference Call. My name is Philip and I will be your operator for today. At this time, all participants are in listen-only mode. Later, we will be conducting a question-and-answer session. (Operator Instructions) As a reminder, this event is being recorded for replay purposes. I would now like to turn the conference over to your host for today Mr. Geoff Bibby, Vice President of Corporate Marketing. Please go ahead sir.
Geoff Bibby - Vice President, Corporate Marketing: Thank you, Philip. Good afternoon. Thank you for joining our 2014 Q2 conference call. You can find our earnings press release on our investor website at investor.zixcorp.com. The earnings release contains instructions for accessing a recording of this call. Our Chairman and Chief Executive Officer, Rick Spurr, will provide an overview of the company’s performance in the quarter; then our CFO, Mike English, will give you details of our financial results. Later in the call, they will answer questions from analysts and institutional investors. Listeners can also submit questions during the call to our Investor Relations mailbox at invest@zixcorp.com. Rick and Mike will provide forward-looking statements on matters such as forecast of revenues, earnings, operating margins and cash flow, projections about contracts or business and comments on trend information. The company undertakes no obligation to publicly update or revise any forward-looking statements. Forward-looking statements are subject to risks that could cause actual results to differ materially from our expectations. The Risk Factors section of the company’s most recent Form 10-K filing with the SEC gives examples of those risks. Rick and Mike will refer to various non-GAAP financial measures such as adjusted gross profit, adjusted operating expenses, adjusted earnings and adjusted EBITDA. You can find in our earnings press release and on our Investor website, detailed explanations of our non-GAAP financial measures along with reconciliations of our adjusting items to the most directly comparable GAAP financial measures. Now, I am pleased to turn the call over to Rick.
Rick Spurr - Chairman and Chief Executive Officer: Thank you, Geoff. Good afternoon, everyone and welcome. I am pleased to report a strong second quarter for the company, which included a solid performance from our base e-mail encryption business and a record-setting new sales contribution from our new products, ZixDLP and ZixOne. Revenue for the second quarter was $12.6 million, up from $11.8 million in the same quarter last year and was slightly higher than the high end of our guidance for the quarter. New first year orders for the second quarter were $2.4 million, flat compared to $2.4 million in the prior year quarter and up 20% sequentially from Q1. Total orders during the first quarter were $15.7 million compared to $15.6 million in the same quarter last year. As we have mentioned before, total orders reflect to a large extent the timing of contract renewals in the quarter. Our backlog, which reflects all contractually committed business and therefore eliminates the impact of order timing, was $68.4 million at quarter end, which is up 80% over the same quarter last year. On the bottom line, we achieved GAAP net income of $1 million or $0.02 per share on a fully diluted basis. Non-GAAP adjusted net income in the second quarter was $2.2 million or $0.04 per share on a fully diluted basis, which exceeded the high end of our guidance for the quarter, which was $0.03 per share. During the second quarter, our business generated $4.1 million in cash flow from operations, up 66% over the same period last year. Now, let me share some detail on the composition of our new first year orders. We are pleased to report that our enterprise sales group that sells to large accounts had their best quarter in over three years. Their new first year order contribution was more than double their contribution from last quarter and is up 34% over the second quarter of last year. Our corporate sales team achieved just under $1.5 million in new first year orders, up 11% from Q1 and a slight improvement over the second quarter of last year if you exclude an enterprise wide deal that we closed with our largest financial regulator in the second quarter of last year. Our OEM business had a weak quarter as expected. Primarily, reflecting what we believe should be the end of the slowdown from our product transition with Google. To remind everyone new first year orders from Google are only reported after we get an installation report which we receive each month. As a result new first year orders from Google for Q2 reflects installations shown on the reports from March, April and May. It was only mid-May that we announced the launch of Google apps message encryption or GAME, so there were no new first year orders this quarter from Google because there were no installations from that 12 day period from the announcement in mid-May until the end of May. Google will introduce GAME to their direct sales team when the product was announced in May. We are now in midst of more in depth training. We are also in the process of getting Google’s resellers reengaged. As you would expect moving beyond rollout to the direct sales team to the training of the reseller channel takes a little longer, but we are glad to be open again for business and expect to begin reporting some increased sales from Google in the third quarter. By year end we hope to at least get back to the volumes we were booking in 2012 around 300,000 per quarter. As we typically do, I will now comment on sales contribution from an industry perspective, our new first year orders in the second quarter broke down as follows. Healthcare was 55%, followed by finance at 28%, other was 14% and government was 3%. This contribution from government at 3% is down from 9% in the same period of last year due largely as I mentioned earlier to the fact that last year in Q2 we closed an enterprise wide deal with our largest federal regulator. This and the weak OEM quarter due to Google are the two major reasons sales were flat year-on-year despite significant growth from our enterprise team and our new products. Our base email encryption business continues to be healthy and vibrant. A significant contributor is the increasing number of competitive displacement opportunities we are seeing. For example, in the first half of 2014, the total number of license seats that we won from the competition was 4.5 times greater than the number of seats won in the first half of last year. This significant ramp up is due largely to the enterprise team success with competitive replacements in large accounts this half, most notably one against Microsoft with a large healthcare system and another one with a large financial firm against Cisco. As we have noted before the announced end of life of the competitive Cisco product which is called the IronPort Encryption Appliance or IEA creates a significant number of potential displacement opportunities with Cisco’s install base between now and the third quarter of next year. We are obviously acutely focused on this very large opportunity and look forward to reporting on our progress in the future. In addition to the increasing competitive replacement opportunities we are seeing, we also hope to benefit from a heightened awareness of the need for email encryption. We are living in a time of advances and security threats have grabbed the attention of public adding to the already high pressures of business to meet security and privacy demand. More than 30,000 articles covered encryption in the last year, nearly doubling the amount of coverage from the year before. To take advantage of this heightened awareness of the need for encryption, last month we announced the Zix Encryption Network. This is a growing community of now more than 10,000 businesses that leverages our patent pending technology for scalability to enable the automatic exchange of encrypted e-mail for all messages between members to address data security threats without impacting workflow for employees or partner organizations. Between members, all e-mails are encrypted and decrypted with zero impact on users. There is no send encrypted buttons, no keywords in the subject line and no passwords. It’s all under the covers, seamless and secure. We are optimistic that the combination of increased demand in our revolutionary Zix Encryption Network with unparalleled ease-of-use will drive growth in our base business. Now, let me turn to an update on our new products. We had a fantastic quarter and are beginning to see the rapid sales ramp that we expect will result in a significant contribution to both new first year orders and revenue from our new products, ZixDLP and ZixOne. For ZixDLP, we set records for new seats and new first year orders. Total lifetime license seats quadrupled and lifetime new first year orders more than doubled. For ZixOne, we set records for new customers, new license seats and new first year orders. Total lifetime license seats for ZixOne doubled in the quarter and total lifetime new first year orders were up 64%. ZixDLP as you know is our e-mail data loss prevention solution designed to help both new and existing Zix Corp customers address the number one data leakage problem in their organization, e-mail. We introduced two new versions of ZixDLP in April of this year. Both versions include major enhancements and functionality that were most frequently requested from prospects and customers since we initially launched the product. During the second quarter, we signed 13 new DLP customers. We are excited these new customers represent a record total of 69,000 seats more than 10 times the 6,400 seats we added last quarter and bringing our total number of license seats to 89,000. Nearly all of these new seats were within enterprise accounts. The average number of seats sold was more than 11,000. This large number of added seats this quarter 69,000 coupled with the fact that almost all of these enterprise seats has as you would expect broader average price per seat down significantly. I will elaborate more on that in a minute, but in terms of customers and the licensee seats, we now had a total of 58 DLP customers and 89,000 license seats, with almost 85% of these seats in large accounts. A minute ago I mentioned that we announced two new versions of ZixDLP in April. We have named a subset of one of the versions, ZixDLP Insight. ZixDLP Insight provides visibility into the content of all outbound e-mail and related attachments, but it does not block or quarantine any e-mail. This analytics offering is something prospective customers have been asking about for many years. It gives them a better understanding of what data is leaving their organization in their outbound e-mail. This visibility gives ZixDLP Insight customers the ability to assess the data risks in their e-mail and to assess how quarantine capabilities could be implemented to mitigate these risks prior to deploying the full DLP solution. ZixDLP Insight can also be an ideal add-on for Zix e-mail encryption customers who need increased visibility into the policies that are triggering encrypted e-mail. We are excited with the initial customer activity we have seen with ZixDLP Insight, because it is a subset of the full ZixDLP functionality, we are offering this product at a price roughly half of the full ZixDLP pricing. We take this new offering to lower our average price per seat for ZixDLP to closer to $6 per seat over time, but we think will result in much greater penetration in the tax rates and greater impact on sales and revenue. Although our long-term estimates are that ZixDLP, including ZixDLP Insight will average around $6 per seat. The average price per seat for the 69,000 seats sold this quarter was closer to $3 per seat. This lower than expected average seat price reflects two things number one, the preponderance of large enterprise deals and number two, one specific deal that makes up about half of these new seats, where for strategic reasons we sold at a below market price. This was for one of our large existing customers who recently merged with another large entity. Now, I would like to provide an update on ZixOne, our new Bring-Your-Own-Device or BYOD solution that we launched last September. This is a unique BYOD solution that lets employees access their work-related e-mail without ever storing any data on the device. This approach and its underlying patent pending technology provide the highest level of security available and have zero impact on employee privacy, unlike the competitive approaches. We had a record quarter for ZixOne. During the second quarter, we added 45 new ZixOne customers, nearly doubled the number of customers added last quarter. Last quarter, we had 23 new customers. So, 23 to 45 is clearly a change in trajectory if we can maintain this rate of growth. Of the 45 new customers, slightly more than half are brand new with the balance coming from sales to our install base. So, we continue to see perspective customers who are completely new to Zix determining that they have a need for BYOD and that Zix as a great solution. At the end of the second quarter, we had a total of 113 ZixOne customers, reflecting an even mix of new and existing accounts. The average number of seats across all ZixOne customers increased to 61 from 50 in the preceding quarter. Total ZixOne license seats doubled to over 6,800. The average price per user per year looking at all ZixOne customers at the end of the quarter was $40. Over the long-term, we still think our average price per user is likely to be around $21 per year as we drive expanded adoption with larger accounts that have significantly more users. Also of note, we have several customers that came back to us in the second quarter and on average doubled their number of licensed users. Many of the current ZixOne customers represent this type of evaluation deployment and as such they represent a good source of future seat growth. On the ZixOne marketing front, we are seeing continued positive traction. Our pipeline of leads is growing dramatically. In fact, the volume of leads caused us recently to add an additional hirer, who will be solely focused on qualifying these leads. In closing, we are very excited about prospects for growth in our existing e-mail encryption business driven by the large potential for competitive replacements as well as the increasing awareness and the need for data security and e-mail encryption. And we have been more excited about the increasing activity in growth we are seeing with our new products ZixDLP and ZixOne which represent a significant opportunity for Zix to accelerate growth. Now let me turn the call over to Mike English, our CFO so he can discuss our second quarter financials in more detail. Mike?
Mike English - Chief Financial Officer: Thanks Rick and good afternoon everyone. As I typically do always I will begin with our GAAP revenue and earnings results and then move to our non-GAAP metrics and conclude with the third quarter and full year 2014 outlook. As a reminder the non-GAAP measures exclude stock-based compensation, non-cash tax expense or benefit and if applicable other non-recurring expenses. As mentioned at the start of the call, we include a reconciliation of our non-GAAP measures with our financial statements in our earnings press release. This reconciliation is also available in the Investors section of our website. Beginning with our GAAP results, second quarter revenue was $12.6 million, up 7% year-over-year and slightly exceeding the high end of our guidance. As Rick covered in his comments, we announced in mid-May that Google released its new email encryption application GAME. As expected and previously communicated second quarter revenue did not benefit from the GAME announcement. Net income for the first quarter was $1 million or $0.02 per fully diluted share, down $0.01 compared to the prior year. Gross profit of $10.6 million improved $650,000 compared to the prior year and on a percentage basis remained flat at 84%. Sales and marketing expenses were up $1.1 million compared to the same period last year and GAAP federal income tax expense was up $514,000, both in line with expected increases in these areas. Moving on now to our non-GAAP metrics, for the second quarter of 2014, adjusted net income was $2.2 million or $0.04 per fully diluted share, flat with the prior year and exceeding the high end of our guidance despite additional investments in the sales and marketing. Adjusted gross profit was $10.6 million, up 7% compared to the same period last year. This represented an 84% gross margin, no change from the prior year. We are happy to be able to maintain exceptional gross margins in the second quarter of 2014, in line with the prior year while fully deploying two new products ZixOne and ZixDLP. We anticipate maintaining comparable or slightly improved gross margins for the foreseeable future. Total adjusted operating income was $2.3 million, down slightly compared to the same period last year due to higher sales and marketing investment which were up 30% compared to the prior year. The other components of adjusted operating expense mainly cost of sales, R&D and G&A were lower in the aggregate compared to the prior year. On a year-to-date basis these operating costs were down approximately $300,000 year-over-year, while revenue was up $1.2 million. Second quarter 2014 adjusted EBITDA was $2.7 million or 21% of revenue. This compares to $2.9 million or 25% of revenue for the same period last year. Ending backlog was $68.4 million, up 8% compared to the prior year. Renewals remained strong and as discussed in the past we continued to encourage contract terms of three or more years which contributed to the backlog growth and solidify our future scheduled revenue. We expect to recognize 55% of the Q2 ending backlog or $37.6 million into revenue in the next 12 months. During the quarter we generated $4.1 million cash from operations and used $466,000 to purchase capital equipment mostly computer and networking equipment. Free cash flow was $3.6 million. Ending cash balance at June 30, 2014 was $26.2 million compared to $22.5 million at the end of Q1 2014. The second quarter GAAP tax provision was $622,000 and of this amount 525,000 was non-cash tax expense. As I’ve stated in the past, we have a large deferred tax asset which offsets Federal income tax liability, so our cash taxes remain low even though we continue to be profitable. These non-cash taxes are excluded from non-GAAP net income. Turning now to our revenue and adjusted EPS outlook for the third quarter. We expect Q3 2014 revenue of $12.8 million to $13.1 million. This revenue guidance is expected to generate Q3 adjusted earnings per fully diluted share of $0.03 to $0.04. For the full year, given Q2 new first year order results and refined estimates for the back half of the year including expected compliance revenue, we are revising our revenue outlook and narrowing our adjusted earnings per share guidance. We continue to see strong lead flow and remained confident in new first year order opportunities for the second half, but given the nature of our subscription revenue recognition model, most of the revenue from these new orders will be recognized next year. Taking into account these updates, full year 2014 revised revenue guidance is $51 million to $52 million. We are narrowing adjusted earnings per fully diluted share guidance to $0.15 to $0.16. With that, I’ll turn the call over to Rick.
Rick Spurr - Chairman and Chief Executive Officer: Thank you, Mike. Let’s turn it over to the audience for questions. Operator, questions please.
Operator: (Operator Instructions) Now, first question comes from the line of Mike Malouf from Craig-Hallum Capital Group.
Mike Malouf - Craig-Hallum Capital Group: Hi, guys. Thanks for taking my question.
Rick Spurr: Sure, Mike.
Mike Malouf - Craig-Hallum Capital Group: I am wondering if you could talk a little bit about the competitive environment within ZixOne, I know you were pretty transparent on the last call talking about pricing pressure a little bit, is there been any change with what’s going on that and when you look out in the 2015, how is the market looks for you, I mean, we’ve – the shareholders are certainly spend a lot of time and money getting ready for this launch seems to be getting attraction and I just like a little bit of perspective when you look a little bit further out? Thanks.
Rick Spurr: Sure. So, I wouldn’t say that we start pricing pressure. I would say that we are being alternative to the competitive pricing actions and responding accordingly. So, it’s not as if we were being sent home because people said your stuffs are too expensive. We just want to be aggressive early in the lifecycle of the product so, we took the prices not as previously communicated on our earlier earnings call last quarter. We don’t see any change. The opportunity is massive. There is – again, this is a problem that anybody that has e-mail and has employees that want to access that e-mail with mobile devices has this problem. So, it’s a huge problem that we can address and we are uniquely positioned to address it with a way – in a way that no one else can. All the competition still assumes that data lives on people’s mobile devices and they have to figure out a way to protect it there. Our solution conversely never allows data to go on the device in the first place. So, we are excited about the progress we made in terms of 2015. Of course, we are not prepared nor would we give guidance on a specific product like this, but we see – we continue to see great traction in two broad categories. Category one, our smaller clients who have no investment in MDM yet know they have a problem and are attracted to the elegance and simplicity of ZixOne. The second category of customers, are customers who are struggling with frankly the lack of their tight security in the competing solutions and yet the preponderance or broad demand for peoples access to e-mail in using their mobile devices. So, the enterprise opportunities are more complex, because they have a broad array of solutions already that they have considered and they have a broad array of user requirements. And so it takes longer to get through that cycle, but we are seeing success in both of those categories.
Mike Malouf - Craig-Hallum Capital Group: Great, thanks a lot.
Rick Spurr: Thanks Mike. Anything else?
Mike Malouf - Craig-Hallum Capital Group: Nope, that will do.
Rick Spurr: Thank you.
Operator: (Operator Instructions) And your next question comes from line of Fred Ziegel from Topeka Capital Markets.
Fred Ziegel - Topeka Capital Markets: Hi, guys.
Rick Spurr: Hi, Fred.
Fred Ziegel - Topeka Capital Markets: On Insight, would you expect to see more of that sold as standalone product or would you expect it to be sold more in the bundle with the full blown DLP?
Rick Spurr: So, there are lot of instances – so let’s be clear about what we mean by standalone. So, when I think of standalone I think of ZixDLP sitting in a new customer with no other of our products. I don’t think you really meant that. I think what you meant as ZixDLP Insight being sold in conjunction with our e-mail encryption, but without the full complement of DLP functionality. There will be a lot of ZixDLP that will be sold without the full DLP functionality. Now, we hope and expect that a lot of that will graduate over time to upgrade and then use the full quarantine and e-mail treatment options that we built into the full DLP. But yes, there is a lot of customers who are not ready to commit the resource to deal with quarantine e-mails and frankly don’t have evidence yet that they have a problem. So, ZixDLP gives them the evidence that a problem exists and then we offer them the tools to address the problem.
Fred Ziegel - Topeka Capital Markets: Okay. And then one other question on the OEM, number one, what percentage of new first year orders was it in total, how did Symantec fare and what’s going on I guess the other, the non-OEM, VAR, MSSP guys?
Rick Spurr: Okay. As I said in the script, the OEM contribution was weak this quarter. The largest cause of the weakness was that although Google sales had begun to slow last year, they still had a couple of sales one in particular in one of the states. So, a year ago quarter, they still had a pretty decent contribution. And as we just announced GAME and there were no new GAME sales this quarter. It’s really dried up. So, Google was down dramatically. And as we said we think we have seen the end of that, we hope we have seen the end of that and we will start to see the uptick. Symantec continues to do well although it’s still the small part of the overall contribution. With respect to VAR and MSSPs, we continue to nurture and work those reseller channels that are selling all of our products, e-mail encryption, ZixOne and DLP and their contribution continues to be quite healthy and is reflected in the corporate numbers that we report on this call. So, the $1.5 million from the corporate team is reflective of the success of the VAR and MSSP channels that typically will contribute about half of that number.
Fred Ziegel - Topeka Capital Markets: Okay. Alright, thanks.
Rick Spurr: Thank you.
Operator: Alright. And our next question comes from the line of Michael Kim from Imperial Capital.
Michael Kim - Imperial Capital: Hi, good afternoon guys. Just on the topic of customer displacements, can you talk a little bit more about Cisco IronPort Encryption Appliance and what you are doing to drive conversion, who you are running into most often for those conversions. And just more broadly, if you frame the total opportunity or the installed base that you can recognize at this point?
Rick Spurr: And when you so recognize, Michael, I think you mean that we can kind of point to right.
Michael Kim - Imperial Capital: Right, exactly, yes.
Rick Spurr: Yes. Yes, so we believe without substantiation that the total number of these large clients that have this IronPort Encryption Appliance installed are between 100 and 200 very large customers. As large customers they have on average thousands and thousands of seats potentially in average around five-digits. The – I am sure, our competitions looking their jobs at these things too, but we are definitely, definitely seeing more and more opportunity surface and we are having an early, some early successes albeit just a trickle at this point as compared with the broader opportunity. And we are clearly focused on this as a total management team and sales team to maximize or capture that opportunity.
Michael Kim - Imperial Capital: Okay, great. And then when we think about the base e-mail encryption business with the backlog up about 8% and if you include this opportunity with Cisco for displacement and then GAME, the introduction of GAME, is it your sense that the e-mail encryption business should really be a double-digit growth business or how are you seeing that develop over this year to next year?
Rick Spurr: Yes. We still have optimism that the base e-mail encryption business can grow at 10% to 15%. And if, it’s big if, but certainly one we are committed to give it our all is if we crack the code on multiple replacements, it’s going to go even higher than that of course and then we get to augment all that with the new products that we really feel like we have changed the trajectory on the new products this quarter.
Michael Kim - Imperial Capital: And if you got any monthly reports on June for GAME, were there any orders in that particular month?
Rick Spurr: Yes. We understand the question, that’s part of our third quarter results. And so we are not sharing that at this point.
Michael Kim - Imperial Capital: Okay. And then switching gears to ZixOne, can you share any feedback that you have received from trial deployments and the opportunity for in terms of the budgets on the customer basis and whether you can see this towards the end of the year or are you really looking at a new budget year to see a bit of an acceleration on enterprise wide deployments?
Rick Spurr: I am not sure I understood the first half of that question, Michael.
Michael Kim - Imperial Capital: Just curious what kind of feedback you are getting from your initial deployments on ZixOne?
Rick Spurr: Well, as I mentioned we had several accounts come back and double their number of users and that’s a sign of their satisfaction. People aren’t at least we hadn’t yet seen and it’s still quite early, but we haven’t yet seen that people are going to buy an enterprise wide deployment out of the shoot. What we are seeing is that they are satisfying the demand that exist for their current base of employees who have a desire to use mobility and access e-mail. So, they are not buying licenses to put them on the shelf as you would expect, but they are satisfying the needs of 100, 200 users and then as those people go walk around the office and tell their buddies what they are doing, our current one specific enterprise customer, CIO said man, I am getting requests everyday for more and more ZixOne. So, that’s sort of the way it plays out.
Michael Kim - Imperial Capital: Okay, great. Thanks, Rick.
Rick Spurr: Thank you, Michael.
Operator: Ladies and gentlemen, this will conclude the question-and-answer portion of today’s conference. I would now like to turn the call over to Mr. Spurr for closing remarks.
Rick Spurr - Chairman and Chief Executive Officer: My closing remarks are we are excited and I thank you for your continued interest and attention and look forward to meeting with many of you over the coming quarter to continue to discuss our progress. Thank you, guys.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for your participation. You may now disconnect. Have a wonderful day.